Operator: Good morning, and welcome to the Acadia Healthcare's Third Quarter 2022 Earnings Conference Call. [Operator Instructions] Please note that this event is being recorded today. I would now like to turn the conference over to Gretchen Hommrich. Please go ahead.
Gretchen Hommrich: Good morning, and welcome to Acadia's third quarter 2022 conference call. I'm Gretchen Hommrich, Vice President of Investor Relations for Acadia. I'll first provide you with our safe harbor before turning the call over to our Chief Executive Officer, Chris Hunter. To the extent any non-GAAP financial measure is discussed in today's call, you will also find a reconciliation of that measure to the most directly comparable financial measure calculated according to GAAP on our website by viewing yesterday's news release under the Investors link. This conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements, regarding Acadia's expected quarterly and annual financial performance for 2022 and beyond. You're hereby cautioned that these statements may be affected by the factors set forth in Acadia's filings with the Securities and Exchange Commission and in the company's third quarter news release and consequently, actual operations and results may differ materially from the results discussed in the forward-looking statements. The company undertakes no obligation to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise. At this time, for opening remarks, I would like to turn the conference call over to our Chief Executive Officer, Chris Hunter.
Christopher Hunter: Thank you, Gretchen. Good morning, everyone, and thank you for being with us today for our third quarter 2022 conference call. I'm here today with our Chief Financial Officer, David Duckworth, and other members of our executive management team. David and I will provide some remarks about our financial and operating performance for the third quarter of 2022 and then following our comments, we will open the line for your questions. Looking back at the third quarter, the strong momentum continued in our business, reflecting robust demand for our behavioral healthcare services. We executed our strategy with favorable results across our key performance metrics. Our same facility revenue increased 10.2% compared with the third quarter of 2021, including an increase in revenue per patient day of 6.9% and an increase in patient days of 3.1%. We continue to experience positive trends in revenue per patient day as we have seen throughout 2022. Our revenue per patient day growth continues to reflect the value of the services we provide and our strong payer relationships, with rate increases received across many of our payers, geographic markets and service lines. Demand for our services continues to grow and we believe we are well positioned to maintain our strong growth trajectory. Without question, the critical need for behavioral health treatment has become a primary focus for health officials, medical professionals and lawmakers across the country, further amplified by the added strains of the COVID-19 pandemic. Recent data last month from the Centers of Disease Control and Prevention showed the US suicide rate rose 4% in 2021 after two consecutive years of declines, highlighting the critical need for early assessment and intervention. As a leading provider of behavioral healthcare services, we play a vital role in addressing this need and we're fortunate to have an experienced and dedicated team of employees and clinicians across our operations who have worked tirelessly to meet the needs of those seeking treatment for mental health and substance use issues. They’ve navigated through the challenges of a tight labor market while seeking stability and our labor supply and cost. We have progressed on our key growth initiatives across all of our service lines this year. Acadia has a well-defined strategy for sustained long-term growth through four distinct pathways to expand our market reach. I will briefly update you on our accomplishments across these four pathways during the third quarter. Facility expansions remain the first and most efficient growth pathway as we can expand services and establish markets with our existing infrastructure and experienced staff. In the third quarter, we added 132 beds to our existing facilities and expect to add another approximately 90 beds in the fourth quarter. In the second half of 2022, we will be adding over 200 beds to our existing facilities, which are needed to meet the demand in our existing markets and will continue to support future growth. Additionally, we're on track to meet our goal of adding approximately 300 beds and new programs in calendar 2022. For our second growth pathway, we continue to develop wholly owned de-novo facilities that meet the critical demand for behavioral healthcare services in underserved markets. There are significant opportunities across the country to address this unmet need at the local community level. We opened a 60-bed children's hospital in early July as the first stage of our mantra's behavioral health hospital operations in Chicago. In addition to the children's hospital, we expect to begin operations at the 101-bed adult hospital in the outpatient facility in 2023, following the renovations of these facilities. We also continue to identify opportunities to expand our network of comprehensive treatment centers or CTCs to address the critical need for addiction treatment, specifically for patients dealing with opioid-used disorder. During the third quarter, we opened new CTCs in Indiana and Florida, bringing our total to four CTCs open this year. We expect to meet our objective to open at least six new CTCs in 2022. Our third growth pathway is strategic partnerships with leading health systems across the country. We are proud to work with a growing number of premier health systems to expand behavioral healthcare treatment options in their respective communities. By working together, we leverage our behavioral health expertise and implement best practices to deliver high quality care and positive clinical outcomes for more patients. During the third quarter, we opened a new fifth quarter, we opened a new facility with our joint venture partner, Covenant Health in Knoxville, Tennessee. We also broke ground on a new state-of-the-art behavioral health treatment in teaching hospital with our joint venture partner Henry Ford Health in the Detroit, Michigan metropolitan area. An important aspect of many of our joint venture partnerships is the academic focus in training of future clinicians. During the third quarter, our Belmont Behavioral Health Hospital in Philadelphia entered into a formal Affiliation Agreement with Thomas Jefferson University's, Sydney Kimmel Medical College in Jefferson Health in Philadelphia, Pennsylvania to further teaching and clinical care opportunities for students in behavioral healthcare. With our now 18 joint venture partners across the country and a solid pipeline of potential new partners, we expect this pathway to continue to be a strong driver of our growth. We are excited about the opportunities to extend our market reach with a shared commitment with our joint venture partners to address the critical demand for behavioral healthcare services. Our fourth pathway focuses on identifying strategic acquisition opportunities to grow our scale and expertise through investments and expansion and service offerings to further enhance our continuum of care. We are fortunate to have a strong balance sheet that supports our ability to pursue acquisitions along with opportunities through our other important growth pathways. So in conclusion, we are well-positioned to build upon our strong growth trajectory and meet our previously stated development targets for the year, which are adding approximately 600 beds in 2022 through approximately 300 bed editions to existing facilities, opening one inpatient de novo, two facilities with JB Partners and at least six CTC locations. Before I turn the call over to David, I would like to highlight three new leadership appointments to Acadia. These leaders join a strong leadership team and will bring additional expertise in growth areas for the company. As we announced in September, Dr. Nasser Khan has been named Operations Group President of our CTC business in its growing network of 144 facilities. Nasser joins Acadia with experience as a medical doctor and an operational leader for a large healthcare system. His experience in process improvement, innovative patient care and network expansion will serve this business line well in the years to come. Secondly, Bill Priest was named Chief Compliance Officer in October. Bill will oversee the compliance function for Acadia, working with the team to oversee programs and standards that further our strategy and meet key performance measures, ensuring that Acadia maintains the highest industry standards. Bill is an experienced attorney with a strong background in compliance for healthcare companies. And lastly, I'm also pleased to announce the appointment of Andrew Lynch as our new Chief Strategy Officer. In this role, Andrew will work closely with our executive team and board to oversee the execution of Acadia's growth strategy. Andrew joins Acadia with experience in healthcare, technology and data analytics strategy and innovation. We are delighted to have these three exceptional leaders join our team as we continue to build upon our strong foundation and attract strong talent into the company. I also want to mention we look forward to our first ever Investor Day planned for Wednesday, December 7 in Midtown, Manhattan. Our management team will provide an in-depth look at our diverse service lines and our strategy initiatives to advance our key -- our leadership position in the behavioral healthcare industry. At this time, I will now turn the call over to David Duckworth to discuss our financial results for the quarter.
David Duckworth: Thanks Chris, and good morning. Looking at the third quarter, we delivered strong financial and operating results as we successfully delivered on our key performance metrics through consistent execution of our strategy. Revenue for the third quarter increased 13.5% to $666.7 million compared with $587.6 million for the third quarter of 2021. Our revenue growth includes an increase in same facility revenue of 10.2% compared with the third quarter of 2021. Our adjusted EBITDA was $162.8 million for the third quarter of 2022, and adjusted income attributable to Acadia's stockholders per diluted share with $0.86. The company recorded income of $7.7 million during the third quarter of 2022 related to the Provider Relief Fund established by the CARE's Act. Excluding this income, Acadia's adjusted EBITDA for the third quarter of 2022 was $155.1 million and adjusted income attributable to Acadia stockholder's per diluted share was $0.80. For the current period, presented in our earnings release, adjusted income excludes transaction-related expenses and the income tax effect. During the third quarter, the company substantially completed its repayment of the $45.2 million received pursuant to the Medicare Accelerated and Advanced Payment Program under the CARES Act. We also repaid the remaining half of the $39.3 million of 2020 payroll tax deferrals and during the third quarter of 2022, which eliminated this liability. We continue to review the remaining $14.2 million of the American Rescue Plan payments held on our balance sheet as of September 30, 2022, for the potential recognition of additional income. Our guidance does not include the recognition of additional income in the fourth quarter of 2022 beyond the $16.2 million of Provider Relief Fund income recorded in the nine months ended September 30, 2022. Maintaining a strong financial position continues to be a top priority, allowing us the flexibility and capital to support our growth strategy and future investments. Looking at our balance sheet, as of September 30, 2022, the company had $93.4 million in cash and cash equivalents. The company had $515 million available under its $600 million revolving credit facility and our net leverage ratio was approximately 2.1 as of September 30, 2022. Moving on to guidance; as noted in our press release, we narrowed our previously issued guidance for 2022 as follows: revenue in a range of $2.58 billion to $2.6 billion; adjusted EBITDA, including income from the Provider Relief Fund in a range of $611 million to $621 million, adjusted EBITDA, excluding income from the Provider Relief Fund in a range of $595 million to $605 million, adjusted earnings per diluted share, including income from the Provider Relief Fund in a range of $3.13 to $3.23 and adjusted earnings per diluted share, excluding income from the Provider Relief Fund in a range of $3 to $3.10. As a reminder, consistent with previous years, we expect some normal seasonality around the holidays that causes the [ fourth quarter ] to typically be $3 million to $5 million lower from an EBITDA perspective. The company's guidance does not include the impact of any future acquisitions, divestitures, transaction-related expenses or the recognition of additional Provider Relief Fund income for the remainder of 2022. With that, Joe, we are ready to open the call for questions.
Operator: [Operator Instructions] And our first question here will come from A.J. Rice with Credit Suisse. Please go ahead.
A.J. Rice: Hi everybody. Thanks for the question. First, just to ask on your labor dynamics. You seem to be doing better than most in dealing with that. Can you just talk a little bit about the underlying trends you're seeing? What kind of wage rate increases you're contemplating for the year ahead versus if they've been announced versus where you were coming into this year? And then also, I would love to pursue a little bit more the tie-in that you're calling out with the academic medical centers and how that may be helping you on the labor front. Is there any way to talk about how -- the extent to which your recruits are coming out of that pipeline. It's an interesting aspect that hadn't been highlighted before, I don't think.
Christopher Hunter: Sure. Thanks, A.J. This is Chris. Why don't I start, and we'll let David also weigh in. I would say, overall, our wage inflation is still a little bit elevated when you look at historical levels. So we've been running in the 5% to 7% range for most of the year. And it really does continue to vary by job category, position and also market. I'd say it's been a goal for us for some time to continue to just try to be as competitive as we can in our markets with our pay rates. And we've had to be proactive with certain market adjustments when necessary. I think particularly when there has been an opportunity for us to take on census and we've had staffing shortages. We've really tried to do everything we can to attract staff. So there are some markets where wage increases are a little bit above that average overall. But I would say contract labor for the quarter was pretty stable. It's still less than 2% of overall labor hours. And I would say premium pay has remained pretty stable throughout the year, but it is at elevated levels that we believe will moderate over time.
David Duckworth: Yes. And then A.J., we're not providing, I guess, at this point, any specific commentary around our outlook for next year. I'll add, though, historically, for a number of years, we saw wage inflation in the 3% to 4% range pretty consistently. And so being in the 5% to 7% range this year is certainly higher than what we've seen in the past. And our thought is that over the long term, we might see some moderation in that wage inflation that we've seen this year. And then with respect to the affiliation that we announced in the release and was included in some releases earlier in the month, we are excited about that. We always when we open a new joint venture, we're looking at opportunities to get involved in the training of future clinicians, and we can do that through joint ventures and other relationships, but also through this affiliation that we announced with our Belmont facility in Philadelphia. It's hard to size that right now, but we continue to find ways in many different markets to improve the training of future clinicians and play whatever role we can play in that, which we believe will help the industry and Acadia over the long term.
A.J. Rice: Okay. Maybe just one follow-up, if I could, on the comments around the CTC additions, and that's obviously become increasingly something you're highlighting. Are those subject to certificate of need requirements in most of the distributor need states? And can you just comment on how big an opportunity? I know you're adding a few each year 6, I guess, this year. Is there a pipeline of those that go on for quite a while? Or give us a little more about how you're thinking about growing those new developments on the CTC side?
David Duckworth: Yes, A.J., the requirements do differ by state. But increasingly, we're finding that most states have some process that we go through and navigate with the state whether it's set up as part of the CON or some type of licensing, and in many cases, an RFP like process that we may go through with a state in certain markets within the state. We do have a very strong pipeline of future CTC locations. We still believe there's a significant need and very low percentage of people that need treatment that are currently getting treatment. So that is a tailwind that we think will continue to support future CTC de novos. We have a, I'd say, very refined and detailed process that we are going through to identify those markets. We have a lot of data within the company as to our own patients and where there might be at a real precise level within our markets and within new markets, a need for a clinic where a clinic does not already exist. And so we use that, among other tools as we identify markets that need a CTC de novo. And we're looking at -- we've already seen an acceleration in the number of CTC de novos if you look back over the last several years, but we continue to look ahead and believe we'll see ongoing acceleration in that de novo opportunity.
Operator: Our next question will come from Andrew Mok with UBS. Please go ahead.
Andrew Mok: Same-store revenue per patient day was up another 7% in the quarter, continuing very strong pricing trends. First, what impact did all the new CTCs that you opened in the third quarter of '21 have on that metric? And secondly, can you help us understand the underlying Medicaid rate increases that you're receiving? Is there any difference in the rate that you're seeing between Managed Medicaid and fee-for-service Medicaid?
David Duckworth: Yes. Andrew, the CTC impact on the revenue per day. I know we've talked in previous quarters about how our non-inpatient revenue can impact the revenue per day metric. We continue to see another quarter where revenue growth for our outpatient in our CTC business was in line with our overall same facility revenue growth for the most part at around that 10% level. And so because of that, the CTC impact on the revenue per day growth metric was minimal this quarter. The key driver for our revenue per day growth throughout the year and for the third quarter continues to be payer rate increases that we're seeing pretty broadly across our service lines and across many of our markets and payers. So the CTC impact was very small. In terms of Medicaid rates, Medicaid is 50% of our business overall. And we have seen, in many markets, a good rate increase this year from many of our states and Medicaid payers. Of course, there's always opportunity in inflation and other factors where we continue to talk about future rate increases, especially in certain markets. But we have been pleased with many of our increases that we've seen over the last year. And most within our acute service line, most of our revenue is now with a managed Medicaid payer, around 90% of Medicaid business that we see in the acute service line is with some type of managed Medicaid payer within the state. And we see, for the most part, a pretty close correlation between any Medicaid rates in the managed Medicaid rates that we get within the state. But the vast majority of it at this point is with a managed Medicaid payer.
Andrew Mok: Got it. That's helpful. And then CapEx guide was reduced another $30 million this quarter and now down, I think, $85 million from initial expectations driven entirely by growth CapEx. Can you walk us through the drivers of the CapEx cuts this year? And help us understand how much of this is discretionary on your end and how much is driven by supply chain issues? .
David Duckworth: Yes. We have reduced the projected CapEx for this year. And if you remember at the beginning of the year, we had visibility as to the projects that would begin at some point, but we made assumptions around when those projects would break ground and begin construction, which is really the point where we're able to have a higher level of confidence in the timing of the forecast. And so we did see a number of projects because of approvals in the breaking ground and all that it takes to get to that point in the project. We saw some delays compared to the estimates that we initially made at the beginning of the year. We have seen some step-up over the course of the year as several of those projects have begun, but did not see all of those projects that we hoped would break ground during the year actually get to that point. As we look ahead to next year, we do see that ramp-up continuing. That ramp-up we thought might happen in the back half of this year. We do see that happening next year. So we would attribute all of that reduction to just the timing of the projects and do feel like as we move into next year, we'll provide more clarity on just the timing of that step-up. But we do still believe that step-up will happen. I think for this quarter, if you look at our CapEx, we were around $60 million of our CapEx was related to those expansion projects. We still believe that will step up to the $75 million to $100 million range. And we'll provide more detail later as to when that happens.
Operator: Our next question will come from Brian Tanquilut with Jefferies. Please go ahead.
Brian Tanquilut: I guess, David, just to follow up on Andrew's first question. So as I think about the discussions you guys are having with the payers, and obviously, 50% of your business is managed Medicaid and managed Medicaid heavy. I mean what is driving their decision or your lobbying point leverage point to get fairly healthy rate increases? And how should we think about the sustainability of this kind of rate growth?
David Duckworth: Well, we -- there's a number of factors, Brian. And I mean, first of all, I believe, given the strong demand and the importance and value of the treatment of behavioral health care needs, there's an increasing recognition of just the importance and the value that's provided an intervening and providing that coverage. And our team does a great job of telling that story and making sure within our states and with our payers, that they understand the programs that we provide and we work proactively and closely with those payers on the programs that we provide. And the team has done a nice job just maintaining those relationships. It is a very market and payer specific approach. And while we are pleased with the positive trend and the consistent trend in that metric, we think there's an ongoing opportunity. There's still some payers where we have a greater challenge than other payers just getting what we believe is an appropriate rate increase. So we'll continue our initiatives around these opportunities. It is, I guess, difficult to forecast ahead on this metric because we were at a lower trend for a number of years and didn't really see the consistency that we're now seeing across the different payers and markets. So we'll continue to provide more information around our outlook for revenue per day. I would describe it as remaining somewhat cautious knowing the longer-term historical trends, but also believing that we have a number of initiatives in place and opportunities, we believe, to continue to drive a positive result there.
Brian Tanquilut: Appreciate that. And then, Chris, in your press release, you talked about the different growth drivers and acquisitions is one of them. Just wanted to hear your thoughts on what you're seeing in the market today for deal opportunities, especially with the rising rate environment that's in theory squeezing out the PE guys a little bit? And then maybe related to that, David, just maybe if you can remind us what you think your optimal cap structure leverage as going forward?
Christopher Hunter: Yes. So Brian, one thing I would add to David's prior remarks, just coming from the payer side, I've just been extremely impressed with how methodical the team has been on our managed care front in terms of just building these relationships over time, but just continuing to work with the payers day in and day out. We have very strong visibility right now. About half of our contracted rate changes are already set for '23. So there's still work to do in the fourth quarter that they are continuing to work through. On your question on the M&A front in this environment, I continue to believe that -- and I think we all believe that we're going to see more opportunity. I mean given our strong balance sheet, given the fragmentation of this market, there are many smaller players that I think will look to a partner over the next several years. And I just think we are so well positioned, not only is the largest pure-play provider of behavioral health, but also the strength of our balance sheet, certainty of close and our desire to get some of these M&A transactions done. So I do think that the pipeline is just going to continue to grow. I mean we certainly are having conversations out there valuation expectations from a year ago have continued to be pretty high, but we're going to continue to monitor that over time. And we just think we have the ability to be patient. We have multiple levers to deploy capital, and we're going to continue to be disciplined.
David Duckworth: Yes. And I'll add to that, Brian. We are at a leverage level right now at 2.1 that is lower than we believe the company may operate at longer term, which is probably more like 3% to 3.5%, depending on the opportunities that we'll have over the long term. But we certainly have a significant amount of capacity and flexibility right now. And as Chris said, we're happy to have that flexibility. We have a lot of different ways that we can grow and we'll continue to be disciplined and evaluate those opportunities based on a market-specific approach and what's best in each of our service lines and markets.
Operator: Our next question will come from Whit Mayo with SVB Securities. Please go ahead. Q - Whit Mayo David, can you talk about the start-up losses in the quarter and how those were tracking relative to expectations? Presumably that may influence the consolidated SWB number a little bit. So any color would be helpful.
David Duckworth: Yes, we did open 2 facilities. Our joint venture in Tennessee as well as the children's facility in Chicago in early June. And so we always talk about how the timing of our new facility openings could impact the level of start-up losses that we have in any given quarter. And we typically expect a year to be in the $15 million to $20 million range for start-up losses and with those twi openings happening in July and basically spending the entire quarter, going through the survey and licensing in the early phase of the opening process, we did see around $5 million in start-up losses this quarter, which we would say is at the higher end of the range that we expect, not above our expectations, but maybe at the higher end of our expected range. And that did impact the SWB as a percentage of revenue metric because we are building the team and staff at those facilities, and not able to really get paid by the payers until we complete that survey process. And so we saw, I think, 70 basis points of an increase in our overall SWB as a percentage of revenue. And if you look at our same-facility group, we saw stability there. And really on a year-over-year and quarter-to-quarter basis saw that metric be stable. So we would attribute the increase that we saw mostly to those start-up activities. We've also continued the integration of the CenterPoint acquisition that was completed at the end of the year. It continues to be a good facility. Our team is doing a great job integrating that facility. But it's underperformed our expectation for the quarter. And there's a lot of initiatives that we have in place relating to the team and just further integration into Acadia that we believe will improve their operations. But it's a little bit slow to start as we move through the year, a good opportunity for next year just to see the full benefit of the performance of those facilities under Acadia. But between the start-up losses and those facilities, we did see a little bit more of a drag to the same facility group this quarter in getting to our overall consolidated numbers. Q - Whit Mayo Can you share what your same-store SWB per patient day growth rate was in the quarter? That might just be helpful. We can't really see that until your Q comes out?
David Duckworth: Yes. If you think about it, so the metrics we just talked about were salaries as a percentage of revenue. If you didn't look at salaries per patient day which, of course, incorporates volume growth into that metric. But it was around the same level of our wage inflation if you look at that metric. So right in that, we talked about that being 5% to 7% throughout this year, and that's around what we saw this quarter. So sort of that mid-single digits, a little bit over 5% is where we trended this quarter and throughout the year. Q - Whit Mayo Okay. And maybe just one last one here. It looks like, again, there was another maybe small divestiture in the quarter, $6 million to $7 million of divested revenue. Just remind us what that is. It does feel like that may have negatively impacted length of stay by 20 basis points or so you reported a prior year comp of 15.3 this quarter, but you reported 15.5. So I just want to make sure I'm thinking about the impact there correctly.
David Duckworth: Yes, that would play a role in what we reported last year compared to this year. And we closed a residential facility in one of our markets in early July. Facility, it was unfortunate that we had to close that facility, but it was underperforming and just not the level of referrals and support within that market that we needed to be successful in that market. So it was not a significant financial impact at the EBITDA level. But certainly, there was some revenue and some beds associated with that facility. And there was around $1 million of losses related to that this quarter that was not expected at the beginning of the year. But for the most part, we've done a nice job just getting through the closure process, winding down operations at that facility.
Operator: Our next question will come from Kevin Fischbeck with Bank of America. Please go ahead.
Kevin Fischbeck: I want to go back to labor for a minute just because your performance all this year has really been a differentiator on whichever company has taken down numbers, either margin or top line because of labor and you guys seem to be managing it well. And we don't normally think of behavioral health is a place that's kind of easy to recruit into in the first place. So I just want to know from your perspective, what's been driving your ability to source labor? Is it as simple as you're well positioned to get strong rate growth. And so passing on 5% to 7% wage growth is a lot easier when your rates are growing 7? Or is there something else you would point to as to show how well you've been managing through this?
Christopher Hunter: Yes, this is Chris. I would say it's several things. I mean I think clearly, we've tried to, as I said before, be proactive with respect to market adjustments when necessary. I think we also have been very methodical of working with our HR team and the individual facilities where there's an expectation that when they have staffing challenges or headwinds that they are immediately raising those. And we're working through literally on a daily basis as a leadership team to ensure that they're getting the resources that they need. And so it's really been market by market, and I think it's more just a culture that we're trying to do everything we possibly can to deal with some of the labor challenges, particularly since we see such strong demand. And we don't want to have to turn away patients because we can't staff at the local individual facility level. So we'll continue to be very focused on it. I wouldn't say that there's one panacea. I think it's just really strong in methodical management.
Kevin Fischbeck: All right. Great. And then I guess with your 10% same-store -- my guess is that overall, the growth by service line is going to be dependent to some degree by how quickly you're opening up capacity by service lines. But can you give us any kind of directional color about which service lines might be growing a little bit faster than the 10%, which one on a little lower than 10% that overall growth.
David Duckworth: Yes, Kevin, we certainly continue to see strong performance in the acute service line, especially if you look outside the same facility group at an overall level, knowing that the acquisition we completed at the end of the year, added about 3% -- 3% to 4% revenue growth for the company that was all in the acute service line. Within the same facility group though, we're seeing good revenue growth and performance across all of our service lines. Rate increases and volume have grown in each of the service lines. And so we wouldn't necessarily highlight within the same facility performance any specific service line. They've all added beds and added programs across the service lines and done a nice job growing both on the volume and the rate side. If you look back over time, we probably had more bed additions in the acute service line than any other service line, and then second would be specialty. So the RTC business is probably growing at a slightly lower rate but we're pleased with the revenue growth and the performance across all the service lines.
Operator: Our next question today will come from Pito Chickering with Deutsche Bank. Please go ahead.
Pito Chickering: I'm going to stick to these all actually on the CTC business, especially so with the new hire you guys have made there. The first one is, you said that the growth rate for CTC was the same as the overall growth. Can you just remind us what percent of revenues today comes from CTC?
David Duckworth: Yes, Pete, we have for the CTC business -- hold on, so I can give you a precise number. We continue to see -- it's around if we were to just give you a rounded annual number around the $400 million level.
Pito Chickering: Okay. Got it. And that's been growing the last couple of years basically in line with the overall revenues, right?
David Duckworth: Yes, it has. And we have the de novos that are a key driver of that growth. But we also have volume at our existing sites. We always like to have capacity at our existing sites to treat more patients and then the payer mix and the rate increases in that space, as I mentioned a minute ago, have also grown.
Pito Chickering: Okay. And then on reimbursement, it state by state, how much variability is there between what you paid per week per patient in the lowest paying states versus highest paying states?
David Duckworth: Pito, we look at it on the basis of rate increases that we're seeing across the state. And as we said earlier, we believe that we're broadly seeing success this year across our service lines and then within each of our service lines, if we look at our operations in different states, and we're in 22 different states for our acute business. We're seeing broadly good rate increases across those states. There's variability, of course, in the rates we get in one market compared to another market just with the significant cost differences within our country. So it's -- that's not a metric that we typically provide, but we're focused on where the rate growth can happen and consistency in that rate growth across those markets.
Pito Chickering: Okay. Fair enough. Two quick questions. I believe that you've said before is confirming that the margins for CTC are identical to corporate averages. And any plan to start segment reporting these different divisions you guys have?
David Duckworth: Yes. Peter, we have said before that the margin profile for our facilities and service lines can vary from one market to another and one facility to another. There's just so many factors that play a part in that, the maturity of a facility, the size of the facility and a number of other operational factors relating to the reimbursement and the cost structure. But overall, if we look at the service lines, we do see not identical, but a lot of similarities in our margins across all of those service lines. If you think about it as an average in a range within the facilities that make up that service line. Your second question there or your fourth question was about segment reporting. And we have considered that. Of course, we're a U.S.-only company now. But given the way we operate our facilities and really they're all run as part of a group, but it is something that we continue to evaluate every year, especially if there's any type of changes in the way we manage those facilities or other factors that we need to consider that impact the way we report those service lines. But it's a good question and one that we continue to look at, and we'll continue to update you on.
Operator: Our next question will come from John Ransom with Raymond James. Please go ahead.
John Ransom: Just looking forward to the Analyst Day -- sorry, looking forward to the Analyst Day -- at a high level, do you plan to address the multiyear growth outlook and the math to get there? And then secondly, kind of an unrelated question. You've hired a new Head of Strategy. What's going to be different a couple of years from now as a result of that hire, if anything, compared to sort of how the company has operated in the best
Christopher Hunter: Yes. Thanks, John. This is Chris. A few things I would say on that. I would say, first of all, we think the Investor Day is a great opportunity for us to talk about the lines of business in a little bit more depth than we've been able to. Obviously, we speak on these quarterly calls and analyst meetings on our growth pathways and how we're executing against that strategy. But I think there's an opportunity for us to go a little bit deeper and certainly to link that to the financial plan because we have significant confidence not only in our ability to grow, but also the visibility that we have frequently with these JVs. So we'll certainly be laying that out. As it relates to hiring a head of strategy and Andrew Lynch, I think one of the things that will be different is we will increasingly be looking for ways for the various lines of business to be a little bit more integrated. And I think that already has been a focus here in the last several quarters, but it's something that we'll talk a little bit more about at Investor Day going forward, particularly on the referral front.  And then I think also just our ability to innovate and to be open to partnerships as a way to really build from the core and leverage technology to continue to advance the business. I think there are some real things that we were looking for in bringing in some outside expertise that can help us further extend our capabilities there. And Andrew just has tremendous experience in that regard.
Operator: Our next question will come from Sarah James with Barclays. Please go ahead.
Sarah James: We've been looking at the pacing of bed adds in '22 and -- so in 1Q, you had 28 then 51 32, and that implies about 230 de novo and expansion for 4Q. So two questions. Should we think about a seasonality pattern in bed adds in '22 being something that could recur with respect to your stated guide for '23 and '24 of 800 to 1,100 adds? And then on the 2Q call, I think you guys set guide for 3Q at about 150 beds, but it came in a little shy. I'm just wondering if you can give us some context of the scale of timing variance there? Is this expansions that moved a few days or weeks and just fill into 4Q? Or are there more material changes in timing for what you've expected?
David Duckworth: Yes, Sarah, good question. This is David. On the timing of bed adds, there is not any seasonality associated with it. In any given year, just with our -- I guess our number of projects, especially on the new facility side, we can see those sort of line up into a certain quarter of the year. And so as we project forward, we don't expect that same type of seasonality going into future periods. And then with our third quarter, we did -- I don't know on the call in the second quarter or if it was subsequent to the call. We did talk about several of those third quarter projects being late in the third quarter. And perhaps early in the fourth quarter, we still have and did at the time, a strong projection of bed adds for the fourth quarter as well. And so the type of change and delay that we saw was in the scale of weeks and not months. We still have those projects that did not come online in the third quarter coming online here in the fourth quarter. And the fourth quarter is a strong number just as the third quarter was. Those should be the projects that really position us well going into next year in terms of a key driver of our same facility volume growth.
Sarah James: Great. And just to follow up on your first response. If there's no real seasonality to bed adds, should we think about them coming on as a baseline just ratably throughout the year. Is that a fair assumption?
David Duckworth: Yes, it's a fair assumption. And I think we could provide updates as we talk about an individual year as to the timing of that. But certainly, over the long term, we think about it as happening ratably throughout the year.
Operator: With no remaining questions, we will conclude our question-and-answer session. I'd like to turn the conference back over to Chris Hunter for any closing remarks.
Christopher Hunter: Okay. Before we end the call, I just want to sincerely thank our committed facility leaders, clinicians and over 22,500 dedicated employees across the country who have continued to work tirelessly to meet the needs of patients in a safe and effective manner. And just thanks to you all for being with us this morning and for your interest in Acadia. If you have any additional questions, please don't hesitate to contact us directly. Have a great day, and thanks, everyone.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.